Operator: Thank you for standing by, ladies and gentlemen. Welcome to the EuroDry Ltd. conference call on the fourth quarter 2024 financial results. We have both today, Mr. Aristides Pittas, Chairman and Chief Executive Officer, and Mr. Tasos Aslidis, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question and answer session at which time, if you wish to ask a question, please press star one on your telephone keypad. I must advise you, this conference call is being recorded today. Please be reminded that the company announced its results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I'd like to remind everyone that in today's presentation and conference call, EuroDry Ltd. will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations and involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to slide number two of the webcast presentation, which has the full forward-looking statement. The same statement is also included in the press release. Please take a moment to go through the whole statement and read it. And now I'd like to pass the floor over to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning, ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me is Mr. Tasos Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the three and twelve months period ended December 31, 2024. Please turn to slide three of the presentation. Our financial highlights are shown here. For the fourth quarter of 2024, we reported total net revenues of $14.5 million and a net loss attributable to controlling shareholders of $3.3 million or $1.20 loss per basic and diluted share. Adjusted net loss attributable to shareholders for the quarter was $0.7 million or $0.25 per basic and diluted share. Adjusted EBITDA for the period was $4.8 million. The single biggest loss for the quarter was the $2.8 million paper loss, which we incurred by recognizing an impairment on one older vessel, which we had purchased at a relatively high price. Please refer to the press release for the detailed reconciliation of adjusted net loss and adjusted EBITDA. Our CFO, Tasos Aslidis, will go over the financial highlights in more detail later on in the presentation. Since the initiation of our share repurchase plan of up to $10 million announced in August 2022, and extended twice until August 2025, to date, we have repurchased 334,000 shares of our common stock in the open market for a total of $5.3 million in proceeds. We will continue to execute the share repurchase program around current share price levels. During this quarter, we successfully completed the refinancing of two of our vessels to a debt $30 million loan, which further increased our cash reserves by about $11 million. Please turn to Slide four for our recent developments. In November 2024, we signed a contract with Nantong Tianzhu building for the construction of two 63,000 deadweight full Kamsarmax bulk carriers. Both vessels are geared eco, of course, and built to EEDI phase three design standard. The two new buildings are scheduled to be delivered during the second and third quarters of 2027. The consideration for each vessel is about $36 million and will be financed by a combination of debt and equity. Additionally, we sold motor vessel Tassos, the oldest vessel in our fleet built in 2000, for demolition for approximately $5 million in cash. Motor vessel Tassos is a 75,000 deadweight Panamax dry bulk vessel and is expected to be delivered to its buyers, an unaffiliated third party, by early March 2025, upon completion of the present charter. The gain on the sale of the vessel is expected to be approximately $2.1 million. On the chartering front, the duration of the majority of our fixtures is short-term, ranging between 20 to 65 days, according to their minimum duration, providing us flexibility for future employment. You can see the specifics of the various charters in the accompanying presentation. Throughout the quarter, there were no scheduled dry dockings or repairs, allowing us to maintain full operational efficiency. While we experienced no commercial off-hire during the quarter, motor vessel, Bless Lag, had a seven-day committed commercial off-hire in January 2025.
Operator: Please turn to Slide five.
Aristides Pittas: EuroDry's fleet currently consists of thirteen vessels, including five Panamax dry bulk carriers, five Ultramax, two Kamsarmax, and a Supramax dry bulk carrier. Our thirteen dry bulk carriers have a total cargo capacity of approximately 920,000 deadweight tons. After the sale of motor vessel Tassos, which is expected by early March 2025, EuroDry's fleet will consist of twelve vessels. Not including the Tassos, the average age will drop to 13.6 years from 14.5 years currently. As a reminder, EuroDry owns 61% of the entities that own motor vessels and Maria. The remaining 39% is owned by owners represented by NRP Project Finance, otherwise referred to as NRP investors. Upon the delivery of the two 63,500 deadweight new buildings, which is set to take place in the second and third quarters of 2027, the company's fleet will increase to fourteen dry bulk vessels with a carrying capacity of just under one million deadweight. Please turn to Slide six for the further update on our fleet employment.
Operator: Fixed rate coverage for
Aristides Pittas: 2025 is approximately 18% through existing charters. This percentage excludes ships on index charters, which are open to market fluctuations but have secured employment. Our vessels are chartered on short-term charters until rates rise enough for long-term charters to be deemed beneficial. Turning to Slide eight, we go over the market highlights for the fourth quarter ended December 31, 2024, up until recently. In Q4 2024, Panamax rates experienced a decline in both one-year time charter and spot rates. The average one-year time charter rate for Panamax vessels stood at $12,700 per day for the quarter, dropping to $11,250 per day by the end of December.
Operator: Similarly, the average one-year spot rate
Aristides Pittas: for Panamaxes during the quarter was $9,250 per day, with a decline to about $7,700 per day in the last day of Q4. Both the Baltic Panamax Index and the Baltic Dry Index saw sharp contractions during the period, dropping by 30% and 28%, respectively. However, from year-end 2024 to February 21, 2025, one-year time charter rates for Panamax vessels have rebounded by 12%, and similarly, spot rates have increased by 14% in the same time period. On the Supramax side, we saw less violent drops in Q1. Currently, spot rates are about $1,000 to $2,000 per day higher than Panamaxes, but one-year charters are about $500 less than the corresponding Panamax rates. Please turn to Slide nine. The IMF's latest update from January 2025 projects a stable, yet somewhat underwhelming global economic forecast, showing only a slight improvement to 3.3% of GDP growth from 3.2% predicted in October 2024. This 3.3% GDP growth is also the estimate for 2026. While the US has seen an upward revision with growth now forecasted to grow 2.7% in 2025, this stands in stark contrast to other advanced economies, particularly in Europe, which have seen either downgrades or stable growth outlooks at around 1% only. Adding to this uncertainty, the new US administration's rapid policy changes and reversals, particularly concerning trade policies and geopolitical conflicts, collectively pose risks to the medium-term growth prospects. Global inflation is still expected to decline. However, the near-term trajectory to price stability may still be challenged with persistent services and wages inflation in several parts of the world, leading to synchronized monetary policy responses. Risks to the global inflation outlook will be tilted to the upside given the prospects of increased protectionism, geopolitical tensions, and demographic constraints. Emerging markets continue to drive global growth, led by India, the ASEAN-5 countries, and China. China's growth appears to be slightly revised upwards but in a lopsided fashion, with projections of 4.6% this year and 4.5% next year, as the country continues to face heavy domestic demand, persistent deflationary pressures, and falling property markets. India is projected to maintain steady economic growth of 6.5% in both 2025 and 2026, driven by strong investment activity, robust agricultural performance, and continued expansion in the services sector, which remains a key engine of economic growth. Southeast Asian countries are also positioned for solid growth, benefiting from regional demand and investment momentum. Internally to global GDP issues, Clarksons' forecast indicates a more challenging period ahead for the dry bulk trade, with demand growth sharply decelerating from 5% in 2024 to just 0.9% in 2025, followed by stagnant trade levels in 2026. While supply constraints and environmental regulations may offer some rate support, the political risks in the Red Sea persist, and despite the Gaza ceasefire, a swift return to normal shipping operations remains unlikely. In light of these projections, we remain cautious of the outlook for the dry bulk sector given key macroeconomic risks and the volume of geopolitical medium growth costs.
Operator: Please turn to Slide ten where we review the
Aristides Pittas: current state of the order book in the dry bulk sector. As you can see, as of February 2025, the order book is currently at just 10.5% of the fleet, still standing among the lowest historical levels.
Operator: Turning
Aristides Pittas: to Slide eleven, let us look into the supply fundamentals in a bit more detail. As of February 2025, the total dry bulk vessel operating fleet was 14,150 vessels. According to Clarkson's latest report, new deliveries as a percentage of the total fleet are expected to be 3.7% in 2025, 3.5% in 2026, and 3% in 2027 onwards. The actual fleet growth is, of course, expected to be lower than the aforementioned figures due to scrapping and slippage. If the 10% of the fleet that is older than twenty years were to be scrapped within the next three years, we would then end up with a fleet that has zero growth. Factors such as increased slow steaming, higher scrapping rates, and the tightening of environmental regulations could further constrain the available bulk of the fleet whilst, of course, the reopening of Suez works in the office of FedEx. Please turn to Slide twelve where we summarize our outlook for the dry bulk market. As already said, in 2024, the bulk carrier charter market experienced mixed results with the Capesize segment experiencing gains while smaller vessel categories such as Ultramax and Kamsarmax faced significant declines. The reopening of the Panama Canal and the easing of port congestion placed additional pressure on the dry bulk market, contributing to declining trade rates, some of which reached multi-year lows. The fourth quarter underperformed expectations with average strip charter rates for Ultramax and Kamsarmax vessels falling by 25% year over year, reflecting the broader market weakness. Looking ahead, the 2025 bulk carrier demand outlook suggests a softer market compared to 2024. A key factor is China's slowing dry bulk imports, which are not expected to match the robust growth seen in 2023 and 2024. While recent government stimulus measures have supported sentiment, they are unlikely to feed into substantial structural improvements in demand, especially given the persistently high stockpiles. Additionally, US trade policy is emerging as a critical factor for the dry bulk sector under the new Trump administration. Tariffs from China, Mexico, and Canada could disrupt grain and minor bulk trade, particularly if escalating trade tensions lead to retaliatory measures. My initial reaction to the measures Trump announced yesterday regarding Chinese vessel penalties and extra fees on calling the US means that they will not pass, as the main and perhaps only consequence will be to make products imported to the US more expensive to the US consumer. Meanwhile, however, the political risks in the Red Sea remain unresolved. Despite the Gaza ceasefire, shipping in the region is unlikely to return to normalcy in the near term. Any easing of Red Sea disruptions could further constrain dry bulk demand growth, adding to the challenges faced in the market. However, on the supply side, vessel ordering has remained relatively limited, primarily due to shipyard capacity constraints and uncertainties surrounding the fuel of the future, amid a growing number of methanol and LNG fuel developments. The order book to fleet ratio remains at historically low levels, which could create a backdrop for a potential charter rate recovery if demand improves. However, trends differ across vessel classes. While Panamax and Ultramax order books are returning to historical median levels, the Capesize fleet remains near historical lows but is comparatively younger, meaning fleet renewal pressures may be less immediate. Furthermore, the new environmental regulations, which include EXI, CII, EU ETS, and PurelyEU, are expected to further constrain vessel supply through increased scrapping and slower operational speeds. These regulatory measures could help mitigate excess fleet capacity, supporting the market by reducing effective tonnage availability. Let's turn to Slide thirteen. As of February 21, 2025, the one-year time charter rate for Panamax ships with a capacity of 75,000 deadweight tons is at $12,625 per day, slightly higher than a week ago, but below the historical median of $13,506 per day. Meanwhile, the market for ten-year-old Panamax bulk carriers remains relatively strong, with current prices at $24.5 million, well above the historical median of $14.8 million and the average of $17.4 million. However, as of the fourth quarter of 2024, asset values have experienced a notable decline from the mid-2020 peak of $29.5 million, reflecting broader market softening. We are closely monitoring the developments. If the markets drop further, and consequently vessel prices also drop, we will be able to acquire one or two more vessels. If the charter market improves, our current fleet will become profitable again. And with that, let me pass the floor over to our CFO, Tasos Aslidis, to go over various financial highlights in more detail.
Tasos Aslidis: Thank you very much, Aristides. Good morning from me as well, ladies and gentlemen. Over the next four slides, I will give you an overview of our financial highlights for the fourth quarter and full year of 2024, and compare them to the same period of last year. For that, let's turn to Slide Fifteen. For the fourth quarter of 2024, we reported total net earnings of $14.5 million, representing an 8.7% decrease over total net revenues of $15.9 million during the fourth quarter of last year. This was the result of the lower time charter rate our vessels earned in the fourth quarter of this year as compared to last year. In terms of other financing costs for the fourth quarter of 2024, including interest income, remained at about $1.9 million, the same level as in the same period of 2023. Adjusted EBITDA for the fourth quarter of 2024 was $4.8 million compared to $6.6 million achieved during the fourth quarter of last year. Basic and diluted loss per share attributable to controlling shareholders for the fourth quarter of 2024 was $1.20, calculated on about 2.7 million basic and diluted weighted average number of shares outstanding. Compared to earnings of $0.13 per share attributed to controlling shareholders, calculated on approximately 2.7 million basic and 2.8 million diluted weighted average number of shares outstanding in the fourth quarter of last year. Excluding the effect from the loss attributable to the controlling shareholders for the quarter, of the unrealized payment derivatives, the adjusted loss per share for the quarter ended December 31, 2024, would have been $0.25, basic and diluted. Earnings, as said, in the fourth quarter of 2023, were $0.71 and $0.70 per share, basic and diluted. Let's now look at the numbers for the corresponding full years, 2024 and 2023. For the full year of 2024, the company reported total net revenues of $61.1 million, representing a 28.6% increase over total net revenues of $47.6 million during the twelve months of 2023, and that was the result of the increased number of vessels operated during 2024, and the slightly higher time charter rates earned by our vessels on average in 2024 compared to 2023. In terms of other financial costs, again including interest income, for the twelve months of 2024, amounted to $7.9 million compared to $5.6 million for the same period of 2023. Interest income was about €49 million in 2023 versus €41 million in 2024. Interest expense for the period or year was higher due to the increased amount of debt during the year as compared to the previous one. Adjusted EBITDA for the twelve months of 2024 was $12.4 million compared to $14.6 million during 2023. Basic and diluted loss per share attributable to controlling shareholders for 2024 was $3.54, calculated on about 2.7 million basic and diluted weighted average number of shares outstanding, compared to basic and diluted loss per share attributable to controlling shareholders for 2023 of $1.05, calculated on about 2.8 million basic and diluted weighted average number of shares. Again, excluding the effect of the net loss attributable to controlling shareholders for the year, the unrealized gain on derivatives, and the settlement loss on the vessel, the adjusted loss for the year 2024 would have been $3.02 per share, basic and diluted, compared to adjusted earnings of about $0.12 basic and diluted for the same period of 2023. Let's now move to Slide sixteen, to review our fleet performance. As usual, we will start our review by looking at fleet utilization rates for the fourth quarter and full years for both 2024 and 2023. Let's first look at 2024's fourth quarter. Our commercial utilization rate during the quarter was 100% while our operational utilization rate was 99.4% compared to a 100% commercial and 99.5% operational for the same period of 2023. On average, thirteen vessels were owned and operated during the fourth quarter of 2024, earning an average time charter equivalent rate of $12,200 per vessel per day compared to 12.2 vessels in the same period of the fourth quarter of 2023, earning an average time charter equivalent rate of $14,570 per day. Our total operating expenses, including management fees, general and administrative expenses, but excluding the advertising costs, were $7,087 per vessel per day during the fourth quarter of 2024, compared to $7,640 per vessel per day during the fourth quarter of last year. If we move further down on this statement, we can see the cash flow breakeven rate, which takes also into account direct working expenses, interest expenses, and loan repayments. For the fourth quarter of 2024, our daily cash flow breakeven rate was $11,529 per vessel per day. This compared to $12,263 per vessel per day for the same period of 2023. Let's now look at the right parts of the table to review the same figures for the full year. During the full year of 2024, our commercial utilization rate was 99.9% and our operational utilization rate was 98.9%, compared to 99.4% commercial and 99.5% operational in 2023. On average, we owned and operated thirteen vessels during 2024, earning an average time charter rate of about $13,039 per vessel per day, compared to 10.6 vessels for the full year of 2023, earning $12,528 per vessel per day. Our total operating expenses for the year, including management fees, G&A expenses, but excluding the other costs, averaged $6,967 per vessel per day in 2024, compared to $7,131 per vessel per day in 2023. Again, at the bottom of this table, we can see the cash flow breakeven rate for the entire year, which for 2024 amounted to $13,229 per vessel per day, compared to $13,041 for 2023. The increase being primarily due to higher direct operating expenses we incurred in 2024 compared to the year before. Let's now turn to Slide seventeen to review our debt profile. As of December 31, 2024, our credit debt stood at about €108 million. Total repayments for 2025 and 2026 are €12.1 million and €11.3 million, respectively, with a small balloon payment due in 2026 of €2 million and a bigger balloon payment due in 2027 of about €10 million, with an additional approximately €10 million of repayments scheduled to be made in 2027. A highlight in this slide is the average margin of our debt, which as of December 31, 2024, stood at around 2.08% over LIBOR, assuming a three-month LIBOR rate of 4.31%. The estimated cost of our senior debt is approximately 6.39%, and actually, the lower deposit to swap some of our debt for a lower rate. So our effective cost of our senior debt is about 6.3%. At the bottom of this slide, we can see our projected cash flow breakeven level for the next twelve months, essentially 2025, broken down into its various components. Overall, we expect to hit a lower cash flow breakeven level in 2025 of around $11,600 per vessel per day, while our EBITDA breakeven level is about $7,526 per vessel per day. We're almost done with it. Let's move to Slide eighteen, where we can see, as usual, some highlights from our balance sheet. This slide offers a snapshot of our assets and liabilities. On our asset side first, our balance sheet is very similar. It includes the book value of our vessels, which as of the end of 2024, amounted to about $185.5 million. We also have advancements made for our new buildings of $7.2 million and also cash and some other assets, totaling about $29 million, resulting in a total book value of assets of about $222 million. On the liability side, as I mentioned earlier, our debt stood at $108 million, representing a debt-to-assets ratio of 49%. We have other liabilities and minority interest of about $4.5 million, and the bulk of almost $9 million of minority indebtedness per share of our partners in those two vessels, resulting in the book value of shareholders' equity of circa $200 million or $35.50 per share. Our estimated market value for our vessels as of the end of last year was $122 million, approximately 20% higher than their respective book value, suggesting a NAV per share of $45. You can appreciate the potential for appreciation that our stock has should market conditions or other factors lead to a reduction of these discounts. And with that, I'd like to pass the floor back to Aristides to continue the call.
Aristides Pittas: Thank you, Tasos. Let me open up the floor for any questions we may have.
Operator: Thank you. We are now conducting a question and answer session. Before pressing star one. Our first question today is coming from Tate Sullivan from Maxim Group. Your line is now live.
Tate Sullivan: Thank you. First, my first question, please. For the 4Q impairment, $2.8 million. Was that related to Tassos and then reversed in the current quarter?
Aristides Pittas: No. Tassos should be recorded. Capital gain on we report a gain on sale. As Tasos mentioned, the number around $2 million. That was on another vessel, the Santa Cruz, that was the last one that we bought. One of the last ones that we bought that was bought at a higher point in the cycle, and our test indicated we should incur in terms of
Tate Sullivan: Okay. Thank you. And then can you talk about the newbuild negotiations with any of your organizations? Have you worked with the specific shipyard before, and did their new build price decrease in the last couple of months? Or how did the price negotiations work?
Aristides Pittas: Well, we haven't built anything at that shipyard in the past. But we did a lot of research and talked to a lot of shipyards before we finally concluded with these guys. We got a lot of information from other owners that we know that have also ordered ships at those shipyards maybe the last few years and have had a good cooperation and seen quality results. So this obviously played a major impact in us selecting that shipyard. Having said that, okay, it was a tough negotiation, as always, on price and on the equipment that will be put on board and all that stuff. And I feel we got a good price. Today, prices may be slightly softening, but not with the deliveries in 2027. We're talking about deliveries in 2028 these days mostly. So I think prices are probably around the same levels that we secured.
Tate Sullivan: Okay. But for later delivery. Okay. And then the specs on the new building mentioned, so eco I imagine that describing means with scrubbers, did you consider
Aristides Pittas: No. It does not mean with scrubbers. Eco does not mean with scrubbers. It means the most modern electronic engine, practically, and the lower consumption that these ships have relevant even to the previous eco vessels. So the vessels are very economic in their fuel consumption.
Tate Sullivan: And then did that shipyard or did you consider shipyards with dual LNG engines, or is that not realistic for dry bulk?
Aristides Pittas: No. We did look at that, and we did consider that, and it is quite more expensive to provide for LNG, especially the LNG tanks that are needed. And we don't think that LNG will be a long-term solution. We want to have the most modern, up-to-date, and economic ships with today's technology.
Tate Sullivan: Okay. Thank you very much. Thanks.
Aristides Pittas: Thank you.
Operator: Be placed into question queue. Next question is coming from Mark Reichman from Noble Capital Markets. Your line is now live.
Mark Reichman: On page eight of your presentation, one can see the difference between the spot and the one-year TC rates. So at what point would you begin locking in one-year charters, and what might you expect the average to be for the last three quarters of the year?
Aristides Pittas: Very difficult to make projections, right? About what the average will be for the next three quarters of the year. Extremely difficult. I will not risk it. However, Tasos showed that our breakeven levels are around $11,500 per day. If we go up to time charters for the more modern ships, of $15,000 to $16,000 a day, we might consider it for one or two of our ships. Otherwise, we will probably continue to play the spot market. The spot market is improving. The traditional lull of the first two months, you know, we've experienced it, and we are hoping that we will see a further improvement in rates within the next two, three months.
Mark Reichman: Well, it sounds like you're pretty confident the spot rates are gonna continue their trajectory, that there's more upside than there is downside. In other words, you don't you you proceed you think it's still beneficial to keep those positions open with the hope that the rates keep going up versus, you know, ending up with lower and lower spot rates.
Aristides Pittas: Correct. Correct. There is downside risk, obviously. But it is not huge. But upside, you never know how high it can go. So, you know, balancing risk-reward, we are keeping our ammunition right now and waiting to see how the market develops within the next few months.
Mark Reichman: Okay. And then the second question is really for Tasos. You know, looking at page seventeen and your breakevens, but I was just wondering if you might just elaborate a little bit on the vessel expense expectations for 2025 relative to 2024, given that you'll have lower or fewer dry dock days and also you've got the sale of the MV Tassos.
Tasos Aslidis: I think the chart I put on slide seventeen reflects the scheduled dry dockings. On the OpEx side, we haven't finalized our budget for 2025, but there's a preliminary budget. We are using a 3% increase over the past year. I think the year ended just below last year's budget for the operating expenses, and we are budgeting, you know, conservatively 3% over last year's budget. I think all the details of the various components are shown on the bottom part of Slide seventeen.
Mark Reichman: Okay. And then the last question is just I know it's a ways away that the two vessels that will be delivered in 2027. Just how do you kind of think about financing that? I mean, I know you've talked about debt and equity.
Tasos Aslidis: It would definitely be we have a good part of it financed with debt. I think that's from our previous financings. Fifty-five percent to sixty percent of that was financed by debt. We might try to give you a higher percentage in this case. The equity portion, we have obviously paid the first installment of ten percent. And we have to make another three of such installments before we deliver the vessels or another ten percent, which would be another $7.2 million, but we would need to pay the yard in 2026 and 2027 before the vessels are delivered. So we haven't really finalized our plans on how to finance that. We have hopefully, we generate that organically, but we at the present market, it will be tough. But hopefully, the market will improve. Say that, we can look for alternative ways to finance the equity.
Mark Reichman: That's great. Thank you very much.
Aristides Pittas: Thank you, Mark. Thanks for the interest.
Operator: Our next question is coming from Poe Fratt from Alliance Global Partners. Your line is now live.
Poe Fratt: Hi. Hello, Aristides. Hello, Tasos. Can you just go over the new build payments? It sounds like you're not gonna have any new build payments in 2025. Could you quantify how much of the new build cost will land in 2026 and then 2027?
Tasos Aslidis: I think in 2026, we will have to pay $14.4 million, two times ten percent per vessel, and another ten percent, that is another $7.2 million in 2027 as a pre-delivery payment. And then finally, the final sixty percent, I guess, which will be paid with the delivery of the vessels. I think Aristides mentioned the second and the third quarter of 2027.
Poe Fratt: Great. That's really helpful. And then just to clarify, it doesn't make sense to put scrubbers on new builds at this point in time. Correct?
Aristides Pittas: This is not something which is certain. But some owners are putting on scrubbers on the smaller vessels. Some are not. Why is that? I think that the verdict is out there for the very big vessels that have high consumptions, that you should put the scrubber on. For Ultramax vessels that consume so little, I'm not sure that it is worth it. I also have some reservations against the whole concept of scrubbers and how much they are and if at all, they are polluting the sea. But no, we are not putting them on. It only depends, of course, on how the price differential between heavy fuel oil and the low sulfur fuel oil develops. Right now, it is quite low, so there is no huge advantage in having the scrubber. It might become even lower. So then there is definitely no advantage in having the scrubber. It might pick up again, and you know, you might recover that investment of the scrubber in a small period of time. It's a different kind of investment, really.
Poe Fratt: Understood. And then, Aristides, I think you mentioned that, you know, if asset values soften, you potentially might look at making acquisitions. Can you give us an idea of sort of the current activity in the S&P market? Are you seeing a lot more potential transactions, or are asset values close to where you might pull the trigger on acquisitions? Can you just give us a flavor for your current assessment of the S&P market?
Aristides Pittas: I can tell you that prices have been dropping ever since October, November last year. Still, at the beginning of February, they had corrected, I would say, on the ten-year-old ships that we traditionally are looking at. They had dropped by about fifteen percent. We thought that if they were to drop by about thirty percent from those highs, they could become an interesting proposition. And a couple of deals were done in the last two weeks. In fact, we bid on one of those ships. But the prices, rather than continuing their drop, were elevated for these vessels. So they rose a little bit again. And now with the charter market improving, I don't think that we will see, you know, imminently lower prices. So we would like to see prices drop by another fifteen percent to consider buying something. I think I couldn't have been more clear. Sorry, Tasos. But we're always on the lookout for interesting transactions. We keep my group busy evaluating deals all the time, although they don't pass the threshold yet.
Poe Fratt: And then, Tasos, how current is that NAV that you talked about in the mid-40s? Does that fully incorporate a fifteen percent drop in asset values, or is that fifteen percent sort of a lagging, or I'm sorry, is that forty-five dollars sort of a lagging? Is there a lag between which, you know, you see the softness hit the NAV?
Tasos Aslidis: It's already, I mean, if I recall on the top of my head, our previous valuation in September was around $250 million, if I'm not mistaken. So by the year-end, the market's just dropped by essentially fifteen percent. Maybe by the middle of January, late January, it might have dropped a little bit more, but it sounds like it's rebounded a bit more recently. So I mean, it's on the ballpark. It is BMO headquarters for the end of the year. Remember, I quoted you in the presentation. But if we were to recalculate it on a pro forma basis, but values, it should be not far from it.
Poe Fratt: Okay. And I know, Aristides, you're hesitant to put out your crystal ball on what the rest of the year is gonna look like from a TCE standpoint. But can you, you know, many other companies talk about what they booked in the quarter so far, you know, a percentage that's already booked for the quarter and a rate that's associated with those bookings. Do you have a similar, you know, metric available for us? Where do we stand at this point in the quarter as far as the first quarter?
Aristides Pittas: I think Tasos is gonna tell you how the call where we are based on our existing charters because now we're at the end of February. So, obviously, I would think eighty percent of what we're gonna make is already booked. So there is, we have an idea about it. But I don't have it for fun.
Tasos Aslidis: And you on slide four, you get a flavor of the charters we concluded recently, and they really cover the quarter to date pretty much. And I think on average, I can eyeball them to be below $10,000, the average.
Poe Fratt: Okay. That's great.
Aristides Pittas: But improving, firming up. And so the second quarter potentially would look a little bit better than the first quarter.
Tasos Aslidis: Hopefully, March would be a little better. There are better than what they contract rollover in March would be better. And I would better to say most certainly Q2 will be a little better because it's also a seasonally better quarter.
Aristides Pittas: But also already, I mean, the last fixture we did, I think, was the Yanis Pitas, which was fixed for $12,000, which is higher than, you know, the levels we were seeing even one month ago.
Poe Fratt: Great. Really helpful. Thank you.
Aristides Pittas: Thanks, Poe.
Operator: Thank you. We've reached the end of our question and answer session. I'd turn the floor back over for any further or closing comments.
Aristides Pittas: Thank you all for listening in today. We'll be back to you at the beginning of, what is it? Middle of May. Middle of May. That's a part of it. Yes. With the Q1 results, hopefully, it will be better if the market
Tasos Aslidis: Exactly.
Operator: Thank you. And that does conclude today's teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.